Operator: Thank you for holding, ladies and gentlemen, and welcome to Alliant Energy’s First Quarter 2012 Earnings Conference Call. At this time, all lines are in a listen-only mode. Today’s conference is being recorded. I’d now like to turn the conference over to your host, Susan Gille, Manager of Investor Relations at Alliant Energy. Please go ahead.
Susan Gille: Good morning. I would like to thank all of you on the call and the webcast for joining us today. We appreciate your participation. With me today are Pat Kampling, Chairman, President and Chief Executive Officer; and Tom Hanson, Vice President and CFO, as well as other members of the senior management team. Following prepared remarks by Pat and Tom, we will have time to take questions from the investment community. We issued a news release this morning announcing Alliant Energy’s first quarter 2012 earnings. This release, as well as supplemental slides that will be referenced during today’s call, are available on the Investor page of our website at www.alliantenergy.com. Before we begin, I need to remind you the remarks we make on this call and our answers to your questions include forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters discussed in Alliant Energy’s press release issued this morning and in our filings with the Securities and Exchange Commission. We disclaim any obligation to update these forward-looking statements. In addition, this presentation contains non-GAAP financial measures. The reconciliation between non-GAAP and GAAP measures are provided in supplemental slides, which are available on our website at www.alliantenergy.com. At this point, I will turn the call over to Pat.
Pat Kampling: Good morning. Thank you all for joining us this morning as we review our first quarter 2012 results. It is no surprise that our first quarter financial performance was negatively impacted by the warm weather. However, we plan to manage our spending during the rest of this year to lessen the impact. With the exception of the weather, our first quarter non-GAAP financial performance was inline with our expectations, just like last year the tax benefit rider cost adjustments this quarter but is not expected to have an impact on full year results. Yesterday, we filed a proposal in Wisconsin to freeze electric retail base rates for 2013 and 2014, and to reduce gas retail base rates for 2013 carrying through 2014. This proposal is a result of our collaboration with commission staff and major intervener groups. The proposal is consistent with our plans to minimize rate increases while allowing us to earn authorized return. Tom will provide more detail on these matters in a few minutes. An important item to share with you today is that we have decided to continue with PTCs for Whispering Willow and the Bent Tree utility Wind Farm instead of the cash grant option. We believe that with our strong cash flow, we can maintain adequate liquidity, capitalization ratios and credit metrics. Therefore, we do not plan on any -- on issuing any material new common equity through 2013. We will assess our future equity needs after we receive regulatory approvals on the large projects we will propose later this year. Let me now brief you on some of our current activities. It has been and will continue to be a very active and productive year as we continue to focus on transforming and balancing our generating fleet. Our plans include retrofitting our Tier 1 coal plants, investigating less expensive emission controls for our Tier 2 Units and increasing the amount of gas-fired generation in our portfolio. We’re proud that our $4 billion capital expenditure plan for 2012 to 2015 is not only reducing emissions in our communities, but is also bringing welcome jobs to Wisconsin and Iowa. At WP&L, we are in the construction phase at Edgewater 5 for an SCR and our Columbia Unit 1 and 2 baghouses and scrubbers. We are pleased to report that the Edgewater 5 project is proceeding within budget and is a bit ahead of schedule. This project capital expenditures excluding AFUDC are estimated to be $145 million and the controls are expected to be in service by the end of 2012. Last month, we broke ground on a $627 million controls at Columbia. The BPLs portion of this project is approximately $300 million and the controls are expected to be in service in the first half of 2014. At IPL, mid-American is currently installing baghouses and scrubbers at Neil Units 3 and 4. IPL’s portion of the total capital expenditures excluding AFUDC is estimated to be approximately $130 million. We are also in the process of finalizing engineering, procurement and construction contract for the scrubber and baghouse at our Ottumwa facility. IPL’s portion of the capital expenditure for this project excluding AFUDC is estimated to be between $150 million and $170 million. The environmental work underway at IPL’s Ottumwa and Neil facilities and WPLs Edgewater and Columbia facilities supports compliance with current environmental rules. This year, we plan to request regulatory approval to install the remaining controls for our Tier 1 facilities. They will be ready to comply with the cross state rule or some new version of it. In Iowa, through the emissions plan and budget filing made on April 2nd, we are proposing adding a scrubber to Lansing 4, which is already in our 2012 to 2015 capital plan. In Wisconsin, we plan to file a construction authorization request for a scrubber and baghouse at Edgewater 5. This filing is planned for the third quarter of 2012 and if approved is expected to add to the capital expenditures post 2015. We are still in the process of assessing if the cross state rules stay or the final utility MAC rules would change the current Tier 2 capital expenditure projections for 2012 to 2015 of $100 million. As previously stated, we are exploring lower cost emission control options for these Units. The future of our Tier 2 Unit is heavily dependent on the evolving environmental rules and reliability requirements of the MISO region. While we continue to rely on lower emissions Powder River Basin coal for the majority of our base load generation, our emissions from our coal plants will continue to decline as our retrofits become operational. In addition, our emissions profile also improves as we convert some of our older less efficient Units to run on natural gas as we have done with IPL Sutherland Unit 1 and 3 and the Dubuque Generating Facility. I should also mention that we began this year with 80% of our coal leads under contract for 2012. Because we had an open position, our customers have benefited from the low spot market prices of coal, while our coal inventories are currently within a normal range. We do not anticipate any issues with coal or transportation contracts take or pay provisions. Alliant is projecting to burn just under 11 million tons of coal in 2012 versus 13 million tons in 2011. As I noted earlier, natural gas generation is becoming increasingly important in balancing our energy portfolio. In April, the public service commission of Wisconsin approved the WPLs purchase of the Riverside Energy Center, 600 megawatt combined cycle facility to $392 million. This purchase will increase WPLs gas-fired generating capacity by approximate 100 megawatts. We expect the purchase to occur at the end of 2012. The revenue requirement associated with adding Riverside to retail rate base will be largely offset by the elimination of the capacity payment currently being made to Calpine under the Riverside PPA, therefore making the purchase essentially neutral to customers. At IPL, we continue to analyze the need for additional long-term capacity and energy, which is being driven by the retirement of generating Units and the exploration of the Duane Arnold PPA. We received numerous proposals in response to the RFP issued in January seeking firm supplies of non-intermittent capacity and energy delivered to the IPL control area. We’re currently evaluating these proposals as part of our due diligence to see if there is a better option to the construction of a new 600 megawatts natural gas-fired combined cycle generating facility. We expect to make a decision regarding our plans this summer. The estimated cost of the proposed gas facility is approximately $700 million excluding AFUDC. Our capital expenditure plan currently includes costs related to that facility to begin in 2014 with the anticipated in-service date of 2016 or later. Turning to wind, the performance from our wind farms has been good with capacity factors averaging approximately 30% and 2011. Production is expected to increase as the additional transmission work is completed. The transmission upgrades at Bent Tree were recently completed and the rebuild of the transmission line at Whispering Willow was scheduled to be completed later this year. The upgrade of the transmission line from Whispering Willow and Franklin County wind sites is scheduled to be completed by June of 2013. At which time, we forecasted the capacity factor for our wind facilities to average 35%. Moving to the unregulated side of our business, construction of a 100 megawatt Franklin County Wind Farm in Iowa is proceeding well. The total estimated cost of the project is approximately $235 million, excluding capitalized interest costs, and since this project is scheduled to be in service by year end, it will allow us to elect the cash grant option. We continue to seek an off-take contract for this facility. Before handing the call over to Tom, I would like to provide an update on the RMT sale process. In February, the Alliant Energy Board of Directors approved the plan to sell the RMT business to the volatility caused by lack of the consistent federal renewable energy policy coupled with down pressure on project margins. We are in the midst of working with parties interested in acquiring RMT and we still expect the sale to recur by year end. As mentioned in our previous analyst call this year, RMT was moved to discontinued operations in our first quarter 2012 financials. During the same call, we mentioned that the decision to sell RMT would result in a one-time $0.14 per share charge in the first quarter utility earnings due to a change in our state tax apportionment caused by the removal of RMT revenue. We excluded this one-time charge from our 2012 guidance. Let me recap the priorities as we execute our plans. First, our employees will continue to provide safe and reliable electric and gas service to our customers. Second, a key objective of our plan is to manage the costs borne by our customers. The rate freeze in Iowa and the proposed rate freeze in Wisconsin allow us to stabilize rates for our customers while earning on our additional rate base. Third, we are transforming and generating portfolio to one that is balanced and has the flexibility to comply with current and future environmental regulations. And finally, we will manage our company is focusing on operational and financial discipline with the goal of earning our authorized returns. Thank you for you interest in Alliant Energy and I will now turn the call over to Tom.
Tom Hanson: Good morning, everyone. We released our first quarter earnings this morning with our GAAP earnings from continuing operations of $0.36 per share. Adjusting for items, we typically exclude from guidance, first quarter 2012 adjusted earnings were $0.50 per share. The 2012 non-GAAP adjustment is related to a $0.12 per share state tax apportionment change that Pat referred to in her comments. Comparisons between 2012 and 2011 earnings per share are detailed on slide two, three and four. We had a record-breaking warm weather during the first quarter of this year. We had an adverse impact on our results. Year-over-year first quarter variance for weather resulted in negative earnings per share impact of $0.16. We are in the process of taking steps to reduce costs to offset a portion of negative weather. Assuming normal weather for the remainder of 2012, we expect 2012 earnings to be at the lower end of our consolidated earnings guidance range of $2.75 to $3.05 per share. Moving to the economy in our service territory forecasted 2012 weather normalized retail electric sales are projected to increase very modestly over 2011. As a reminder, our 2012 guidance was based on no sales growth between 2011 and 2012. These trends are illustrated on supplemental slide five. For the quarter, weather normalized retail electric sales excluding the benefit of the extra day due to leap year were up 1% at both IPL and WPL, driven primarily by the industrial class. Most of the industrial sales increase at IPL was a result of energy sales to co-generation owners during their first quarter outages. These outages ended in March, thus we do not expect increased industrial sales to continue for the rest of 2012. The tax benefit rider resulted in considerable quarter-over-quarter variation at IPL under parent. During the first quarter 2011, the tax benefit rider was in place for about one month, whereas the tax benefit rider has been in place for the entire first quarter of 2012. The tax benefit rider resulted in a $0.07 share lower earnings in first quarter of 2012 when compared to the first quarter 2011. The projected quarterly earnings impact of the 2012 tax benefit rider, as well as the actual quarter-over-quarter impact of the 2011 tax benefit rider is provided in supplemental slide six. As demonstrated in the slide, the tax benefit rider quarterly earnings timing is not anticipated to impact full year 2012 results. Turning to our financing plans. Two of the primary factors influencing the financing plans are cash flow impacts from our current tax initiatives and our capital expenditure plan. We plan to finance our 2012 capital expenditure plan with cash flows from operations, the sale of IPL receivables and the issuance of short and long-term debt. Cash flow from operations are expected to be strong in the next few years, as we do not expect to make any material federal income tax payments through 2015 and assume modest pension contributions during the next few years. These cash benefits will be partially offset by credits to customers builds in accordance with IPL tax benefit rider. In March of this year, we extended IPL receivables sales program to provide additional liquidity through March 2014. Our current financing plan anticipates issuing long-term debt of approximately $500 million in the second half of 2012. We have several current and planned regulatory dockets of note for 2012. They are summarized in slide seven. I would like to provide a bit more detail on the base rate cases. Yesterday, we filed a proposal to freeze rates for 2013 and 2014 for our Wisconsin retail electric customers. We’re also proposing to decrease Wisconsin retail gas rates by about $13 million for 2013 and then keep gas rates constant through 2014. This proposal includes a recovery of the Riverside acquisition, the Edgewater 5 SCR emission controls and the baghouses scrubber project at the Columbia Units 1 and 2. The proposed recovery of the capital costs is offset by increased deferred tax liabilities, reduction of capacity payments and changes in the amortization of regulatory assets and liabilities, which include the conservation escrow. This proposal increases electrical rate base by approximately $400 million in 2013 and an incremental $150 million in 2014. The proposal includes no change to the authorized ROE at 10.4%, and assumes that we continue taking the production tax credits for the Bent Tree Wind Farm. The financial common equity is unchanged at 51%, but there was a change to the regulatory capital structure due to the decreased OBS adjustments. We believe this proposal is in the best interest of our customers and investors, and we remain committed to earn our authorized return during the proposed rate freeze period. More details of this proposal are provided in slide eight. We expect the commission will solicit comments from the public on WPL’s proposal very quickly and we do not anticipate the commission will hold a hearing on this proposal. In accordance with the PSE rules, WPL will be filing its 2013 and 2014 fuel costs plans in the second or third quarters of 2012 and ‘13, respectively. We plan to file an IPO gas retail gas rate case within the next 60 days with a 2011 test year. Interim rates will go into effect 10 days after the filing date and as anticipated we will receive a final order on this case in the second quarter of 2013. It has been seven years since base rates have changed for Iowa retail gas customers. During that period, plant additions have outpaced depreciation expense and weather normalized residential use per customer has declined approximately 20%. We will be proposing the use of a temporary tax benefit rider to partially offset the requested gas rate increase to minimize the impact of customer rates. Over the course of this year, we will continue to work closely with our regulators and stakeholders who receive timely approvals to execute our strategic plan. We very much appreciate your continued support of the company and look forward to meeting many of you at the AGA Conference this coming Sunday and Monday. The materials used for this conference as with all conferences will be available on our website prior to the event. At this time, I’ll turn the call back to the operator to facilitate the question-and-answer session.
Operator: Thank you, Mr. Hanson. (Operator Instructions) We’ll go first to Andrew Weisel with Macquarie Capital.
Andrew Weisel – Macquarie Capital: Hi. Good morning. I was hoping for just a little bit more detail on the WPL rate base. You gave some numbers there that were very helpful. Just want to reconcile that versus the latest forecast. I believe at EEI you showed rate base pretty specific numbers for the next several years at WPL, but when I look at the numbers in this slide on eight here, it looks a little bit lower. If you can just kind of bridge the gap between those two?
Tom Hanson: Sure. First of all thanks Andrew for your question. The single largest driver would be the deferred taxes due to bonus depreciation. The last time those were updated in terms of rate base was the previous rate case which was our UR-117 which was the 2010 base year. So since then we’ve been monitoring those but I think as we do the reconciliation you’ll see that’s probably the single largest adjustment you’re dealing with the deferred taxes. If you go to supplemental slide eight, we’ve tried to highlight some of the details including the rate base, also the information that we filed with the PSE yesterday and should be available hopefully today. It does take each of the electric and gas rate base components thus compare to the previous rate cases to give you kind of highlight of the increased rate base that we have and how we propose to increase the offset.
Andrew Weisel – Macquarie Capital: Okay. So just to make sure I understand, the changes between EEI and today’s numbers were based on bonus appreciation and not the actual filing versus what we’ve been talking about the past few months? Is that a fair way to put it?
Tom Hanson: That’s correct.
Andrew Weisel – Macquarie Capital: Okay. Very good. And then lastly on the Iowa rate case, I believe you said sometime within the next 60 days, your previous presentation sounded like it would be more like this month. Is that being pushed back and if so why?
Tom Hanson: No. We would expect it would be at the earlier end of the 60-day period.
Andrew Weisel – Macquarie Capital: Great. Thank you very much.
Tom Hanson: Thank you, Andrew.
Operator: Thank you. We’ll go next to Brian Russo with Ladenburg Thalmann.
Brian Russo – Ladenburg Thalmann: Hi. Good morning.
Pat Kampling: Morning, Brian.
Tom Hanson: Good morning, Brian.
Brian Russo – Ladenburg Thalmann: Could you quantify what the weather impact was versus normal?
Tom Hanson: It was about $0.12. And that’s both on the electric and gas side, Brian.
Brian Russo – Ladenburg Thalmann: Okay. Good. So we take your midpoint of 290 and subtract $0.12, that’s where you alluded to being at the lower end of the guidance range, right?
Tom Hanson: That’s correct.
Brian Russo – Ladenburg Thalmann: Okay. Also in the WPL rate case filing, I reviewed it real quickly. And it looks like you got some sharing mechanisms of ROEs, breakup of 10, 6, 5 and I’m just curious is that the other interveners protecting themselves from the over earning, or are there any levers you might be able to pull that could put you north of 10.4?
Tom Hanson: I think your observation is correct. I mean, given the fact that is a proposed rate freeze, you want to make sure that it was appropriate for all parties. So as we’ve highlighted in slide eight, there really is an ability for first of all WP&L to earn above its authorized 10.4 and it can retain that up to 10.65. If we are able to successfully manage the business over 10.65 to 11.4, there is a sharing of 50% of that. And anything above 11.4, then it is deferred. Similarly, there’s kind of and net on the bottom end to the extent that our ROE falls below 8.5 then WP&L can’t file for a case. So, we think it’s appropriate for all parties that there is a balance here.
Brian Russo – Ladenburg Thalmann: Okay. And correct me if I’m wrong, but your 2013 WPL rate base is now 2.3 billion and the 2014 rate base is 2.4 billion?
Tom Hanson: The electric?
Brian Russo – Ladenburg Thalmann: The total.
Tom Hanson: Yeah.
Brian Russo – Ladenburg Thalmann: Okay. And you mentioned some offsets or O&M management to help offset some of the mild weather, I know going into the year, you had a fairly aggressive cost management program. I was just wondering if you can maybe talk about some of those initiatives?
Pat Kampling: Sure Brian. The major initiative is really just delaying hiring and keeping positions opened for longer.
Brian Russo – Ladenburg Thalmann: Okay. And the Iowa CCGT that’s being planned, you mentioned better options. What are those better options?
Pat Kampling: When we issued the RFP, we asked actually for whole broad variety of options for again to fill our long-term capacity in energy. So it’s really owning a plant, PPAs et cetera, there’s a wide variety of options that we’re going through right now the analysis on.
Brian Russo – Ladenburg Thalmann: Okay. And just back to the to WPL rate base that you filed for and less the deferred taxes I guess as a function of bonus depreciation, can you quantify what kind of cash flow is coming in the door that’s offsetting the decline in rate base from prior disclosures?
Pat Kampling: Yeah. I may be confused on your question. You know, we’re still in this position that we’re not paying federal taxes.
Tom Hanson: We do get the benefit of bonus appreciation…
Brian Russo – Ladenburg Thalmann: Okay.
Tom Hanson: …as we talked about before. We had about $1 billion of NOLs at the end of ‘11, but we will get the benefit of that bonus depreciation going forward. But recognizing that until we completely eliminate our NOLs, which we expect in 2015, there will be some erosion of that NOLs but recognizing bonus depreciation will be used here in ‘12.
Brian Russo – Ladenburg Thalmann: Okay. Great. Thank you very much.
Operator: Thank you. We will take our next question from Jay Dobson with Wunderlich Securities.
Jay Dobson – Wunderlich Securities: Hey. Good morning.
Pat Kampling: Good morning, Jay.
Tom Hanson: Good morning, Jay.
Jay Dobson – Wunderlich Securities: Tom, in the Wisconsin settlement, that the filing you made, is there anything other than the conservation escrow that’s moving around just from a modeling perspective, and understand the previous questions regarding rate base are going to impact that. But relative to the $16 million increase and then what seems to be entirely offset by a reversal of that conservation escrow, is there any other sort of key elements moving around in that filing?
Tom Hanson: There are also some adjustments that we have proposed to what I’m going to characterize as normal regulatory amortization. If you recall we have some reg assets, reg liabilities that are being amortized. Some of the amortization periods were actually adjusted. So that coupled with then the usage of the conservation escrow allows us than to offset the proposed increase. And Jay, the schedule that we filed with the PSE, that should be available, it does provide a little bit more clarity in terms of the individual items so that it would be able to model that, once that information is available.
Jay Dobson – Wunderlich Securities: Got you. Got you. But what would be the aggregate amount of that amortization? I mean, I assume it’s being extended in life so produced on an annual basis. But what’s the rough ZIP code of those?
Tom Hanson: It’s nothing significant.
Jay Dobson – Wunderlich Securities: Okay. Got you. And then last quick question. Your transmission rates, I’m not sure you saw yesterday, FERC set for hearing the New England transmission 206 and lots of folks are taking an opportunity to sort of look out to other places that might have an impact. And can you just talk about sort of your relationship between yourselves and ITC and sort of what’s been happening locally in Iowa and whether this is a likely outcome to them.
Pat Kampling: Yeah. Sure, Jay. It really hasn’t been an issue in any of our jurisdictions right now. We are definitely carefully monitoring the situation. And but it has not really been an issue at all. But again, as it relates to ITC, anytime their rates will be up for review. We would definitely way in and have an opinion on that.
Jay Dobson – Wunderlich Securities: Got you. Great. Thanks so much.
Operator: Thank you. We’ll go next to John Alley of Decade Capital.
John Alley – Decade Capital: Hi, guys. Great work with the settlement.
Pat Kampling: Thank you.
John Alley – Decade Capital: I just have a few questions and I apologize if this is repeating stuff. But it’s -- the EEI slides for ‘13 and ‘14, EEI was higher by $200 million in ‘13, $300 million in ‘14. Why does that differential grow over the two years or is that rounding?
Tom Hanson: No. We’ve got the additional bonus that we would have also in 2013 that’s certainly contributing to that as well as 2012. Now, keep in mind also we made reference to three specific in-service editions with Riverside and the Edgewater 5 SCR occurring at the end of ‘12. And then we’ve got the baghouse and scrubber at Columbia, that’s occurring about midyear in 2014. So when you look at the 13-month average for certainly ‘14, you don’t see the full benefit of that in-service addition. So then going into the following year you’ll see them the full effect of the baghouse and scrubber at Columbia and as Pat said that’s about $300 million.
John Alley – Decade Capital: Okay. And what’s the total cash flow of the bonus G&A that you took in ‘11?
Tom Hanson: The total bonus depreciation that we took for the WPL or for…
John Alley – Decade Capital: For WPL?
Tom Hanson: It was about $300 million.
John Alley – Decade Capital: And was there any in ‘12?
Tom Hanson: Yeah. We expect that to be about $200 million in 2012 at WPL.
John Alley – Decade Capital: Got you. And on the equity layer, was that just a negotiating point that it went to 49% from 50% or is there something because of the -- I guess you went from PPAs to rate base, but lower?
Tom Hanson: Its -- there will be assets declining that’s causing that’s slight reduction. But as we said, the financial capital structure is unchanged at 51%.
John Alley – Decade Capital: Okay. When we do your -- I guess when we calculate or try to calculate earnings power for the rate base, is it rate base times 50% or 49%?
Tom Hanson: Use the 49%.
John Alley – Decade Capital: Use the 49%. Okay.
Tom Hanson: That’s what the revenue requirements are based on.
John Alley – Decade Capital: Okay. And then you guys said you had the ability to overrun. How much do you think you will in the next two years with the rate base?
Tom Hanson: Well, certainly our objective is to earn our authorized return. We clearly have aspirations to earn above that. But right now, we want to make sure that we’re meeting our commitment to shareowners to earn the authorized return. But what’s important is that the proposal allows for -- to the extent that we can earn more than that, there’s a sharing mechanism in place.
John Alley – Decade Capital: Excellent. Thank you very much.
Operator: Thank you. We’ll go next to Andy Bischof with Morningstar Financial Services.
Andy Bischof – Morningstar Financial Services: Hi. Good morning.
Pat Kampling: Good morning.
Tom Hanson: Good morning.
Andy Bischof – Morningstar Financial Services: I was wondering if you could provide a little bit of clarity on your industrial demand strength and when in particular you’re seeing that strength, do have some customer requirements there?
Tom Hanson: We’ve seen some increase in the industrial sales. As I mentioned in my prepared remarks, IPL we saw about a 4% increase compared to Q1 of 2012 back to Q1 of 2011. However, much of that was dealing with the co-gen facilities that we served. Some of those co-gen facilities were off to do planned outages. Those planned outages are done. So we think at least for the remainder of 2012 that we will not see any significant increase from our prior forecast.
Andy Bischof – Morningstar Financial Services: Okay. Great. And then, just one clarifying question on the RMT sale, you’re expecting that still to close within 2012?
Pat Kampling: Yeah. We’re.
Andy Bischof – Morningstar Financial Services: Okay. Great. Thank you.
Operator: Thank you. We will go next to Brian Russo with Ladenburg Thalmann.
Brian Russo – Ladenburg Thalmann: Yeah. Hi. Just to clarify on the $2.2 billion of the WPL rate base in ‘13 and $2.3 billion in ‘14. Does that Wisconsin jurisdictional only, so do we add FERC wholesale of $229 million and then 100 plus million for the Minnesota piece?
Tom Hanson: Yeah. We should maybe -- clarify. There’s no Minnesota piece, Brian. But the amount that we stated are all on a retail basis. So only electric, when we made reference to the $2.1 billion gas is another 200 million on top of that, but clearly for the electric side that’s only the electric piece. So as you said, there will be wholesale component that you need to factor into your analysis.
Brian Russo – Ladenburg Thalmann: Right. Okay. So we should add $229 million of wholesale on top of that to get the entirety of the WPL’s rate base.
Tom Hanson: Yeah. That’s a good proxy.
Brian Russo – Ladenburg Thalmann: And then add another $126 million for Minnesota to kind of correlate to some of the slides you’ve been putting in your recent presentations.
Tom Hanson: You mean IPL versus Minnesota?
Brian Russo – Ladenburg Thalmann: Okay. Minnesota versus IPL. Got you. All right. Very good. Thank you.
Tom Hanson: Thank you, Brian.
Operator: Thank you. We will go next to Ashar Khan with Visium.
Ashar Khan – Visium: All my questions [has been] answered already.
Pat Kampling: I’m sorry. We can’t hear you.
Ashar Khan – Visium: All my questions has been answered already.
Pat Kampling: Ashar, we can’t hear you.
Operator: Okay. Ms. Gille, there are no further questions at this time.
Susan Gille: With no more questions, this concludes our call. A replay will be available through May 11, 2012 at 888-203-1112 for U.S. and Canada, or 719-457-0820 for international. Callers should reference conference ID 824-4179. In addition, an archive of the conference call and a script of the prepared remarks made on the call will be available on the investors section of the company’s website later today. We thank you for your continued support of Alliant Energy and feel free to contact me with any follow-up questions.
Operator: Ladies and gentlemen, thank you for your participation. This will conclude today’s conference call.